Operator: Ladies and gentlemen, thank you for standing by, and welcome to the General Mills First Quarter F'12 Earnings Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Wednesday, September 21, 2011. I would now like to turn the conference over to Ms. Kris Wenker, VP of Investor Relations. Please go ahead.
Kristen Smith Wenker: Thanks, operator. Good morning, everybody. I'm here with Ken Powell, our CEO; Don Mulligan, our CFO; and Ian Friendly, Executive Vice President and Head of our U.S. Retail Operations, and I'll turn the call over to them in just a minute. First, I need to cover my usual housekeeping item. Our press release and first quarter results was issued over the wire services earlier this morning. It's also posted on our website if you still need a copy. We've posted slides on the website too. They supplement today's prepared remarks. These remarks will include forward-looking statements that are based on management's current views and assumptions. The second slide in today's presentation lists factors that could cause our future results to be different than our current estimates. And with that, I will turn you over to my colleagues, beginning with Don.
Donal Leo Mulligan: Thanks, Kris, and hello, everyone. Thank you for joining us this morning. As you've seen from our financial results released this morning, General Mills is off to a good start in fiscal 2012. We delivered sales growth in each of our 3 operating segments. The quarter included a strong level of product innovation and a 7% increase in advertising investment. And while the inflationary pressure on our gross margin was every bit as challenging as we expected, earnings were a bit better than we had forecast, with adjusted earnings per share matching year-ago levels. In total, we remain on track to deliver our full year sales and earnings targets for 2012. Slide 5 summarizes our results for the quarter. As a reminder, our results now include the Yoplait international business acquired on July 1. We report this business on a 1-month lag, so there's only 1 month of Yoplait performance in our first quarter results. Sales totaled $3.8 billion, up 9%. Segment operating profit declined 3% in the quarter, reflecting higher input costs and increased advertising investment. Net earnings totaled $406 million, and diluted earnings per share were $0.61 as reported. These results include a net decrease in the mark-to-market valuation of certain commodity positions and grain inventories that reduced earnings per share by $0.03 this quarter. Excluding mark-to-market effects, diluted EPS would be $0.64, matching year-ago performance. Slide 6 shows the components of our total sales growth on an as-reported basis, including the 1 month of results from the Yoplait international acquisition. Pound volume contributed 2 percentage points of growth in the quarter. Sales mix and net price realization added 5 points to sales growth, and foreign exchange added 2 percentage points to our sales growth rate. Slide 7 provides a breakdown of our first quarter sales growth, excluding the impact of the Yoplait acquisition. As expected, pound volume was lower in the quarter, down 3 percentage points. Price and mix contributed 7 points of sales growth and foreign exchange added 2 points. So net sales, excluding the Yoplait acquisition, increased 6%. Slide 8 details our net sales performance by segment. U.S. Retail net sales grew 3%, led by strong performance in our Snacks business. International sales were up 30%, including 1 month of Yoplait international results. Excluding Yoplait, our sales still increased at a double-digit rate, and net sales in our Bakeries and Foodservice segment increased 13%. Slide 9 outlines our first quarter gross margin performance. As we told you this summer, our first quarter represented this year's toughest gross margin comparison. On a reported basis, gross margin declined to 37.6%, reflecting the impact of higher input costs for products sold in the current period and changes in the mark-to-market value of grain inventories and commodity hedges we'll use in future periods. Excluding mark-to-market effects, our gross margin declined 250 basis points. The addition of Yoplait international accounts for roughly 50 basis points of that decline. The remainder reflects higher input costs. For the full year, we still anticipate that our underlying gross margin, excluding mark-to-market effects and the impact of Yoplait international, will decline by roughly 100 basis points. We continue to invest in consumer marketing to drive top line growth. Our investment in media and advertising increased 7% in this year's first quarter on top of an 8% increase last year. Slide 11 shows our segment operating profit for the quarter. Total segment profits declined 3%, reflecting the higher input costs and increased advertising investment. U.S. Retail profit was 5% below last year levels. International profits increased 30%, reflecting strong top line growth and favorable foreign exchange. And Bakeries and Foodservice profit declined 15% for the quarter, as improved net price realization did not fully offset higher input costs in the period. Grain merchandising earnings also declined from strong year-ago levels. After-tax earnings from joint ventures exceeded our expectations, up 7% to $28 million for the quarter, including favorable foreign exchange effects. On a constant-currency basis, CPW sales were up 8% in the quarter, led by growth from the Nesquik and Chocapic brands. First quarter constant currency sales for Häagen-Dazs Japan also increased 8%, excellent performance in that challenging environment. Completing our review of the income statement, you see that interest expense declined 5% in the quarter, reflecting lower rates and changes in our debt mix. The effective tax rate for the quarter was 32.1%. Excluding mark-to-market effects, our tax rate was 32.4% compared to 32.8% a year ago, and the average number of diluted shares outstanding declined modestly in the quarter. We still expect our share repurchase activity would be lower this year, as we used cash to fund the Yoplait acquisition, but at a minimum, we expect share repurchases to offset options exercise. Switching to the balance sheet. Slide 14 shows that total core working capital increased 8% in the quarter, roughly in line with sales. The Yoplait acquisition contributed to the higher balances for both receivables and payables in the quarter. These were largely offsetting. The increase in inventory values was driven by rising input costs. You'll also see other impacts of Yoplait international reflected in our balance sheet, including Sodiaal's ownership interest. A portion of the Sodiaal ownership is classified as noncontrolling interest. The larger piece is listed as redeemable interest. This reflects the fact that we agreed to give Sodiaal limited annual rights to put that portion of their ownership interest to us over the next 9 years. So with the first quarter completed, we're on track to deliver our 2012 targets, now including Yoplait international. We expect to deliver double-digit growth in net sales this year. We expect segment operating profit to grow slower than sales. A robust pipeline of HMM activity will offset most, but not all, of the 10% to 11% input cost inflation we expect this year. We expect to generate earnings growth over the remaining 9 months of the year, with the pace of growth strengthening as the year unfolds. For 2012 in total, we're reaffirming the guidance we provided this summer. We expect EPS to grow at a mid-single digit rate and reach $2.59 to $2.61 per share. This range includes the roughly $0.01 drag we've estimated for the Yoplait acquisition, which is driven by increased amortization and depreciation expense and the EPS impact of reduced share repurchase activity. Our EPS guidance excludes any mark-to-market effects in Yoplait integration costs. With that, I'll turn the microphone over to Ian for an update on our U.S. Retail business. Ian?
Ian R. Friendly: Thanks, Don, and good morning, everyone. Let me begin with a snapshot of the improving trends we're seeing at the category level. As we have discussed before, input costs are up significantly for food manufacturers. In response, branded and private label manufacturers have taken pricing actions to offset a portion of the input cost inflation. Across our categories, average unit prices have increased sequentially and were up nearly 5% for the first quarter of our fiscal 2012. Food manufacturers have also built greater levels of product innovation and marketing support into current year plan. And as a result, category sales trends are improving. In fact, this improvement in category trends is quite broad based. As you can see on Slide 18, category net sale trends across all channels improved in 11 of our top 12 categories this quarter. And in aggregate, net sales for our major categories grew over 4% across all channels in the first quarter after flat performance in fiscal 2011. Now our market share performance across these categories was admittedly a mixed bag, with declines in cereal and yogurt and gains in grain snacks and soup. In total, our dollar share was down a bit in the quarter, but that's consistent with our expectations at this stage of the year. Our U.S. Retail pound volume also declined this quarter as anticipated. Some of this decline reflects our actions to reduce trade spending and take pricing, but changes in product mix also contributed to our pound volume decline. Volumes declined for some of our heavier products, including soup, canned vegetables and dessert mixes, while our strongest volume gains came in lighter product offerings like grain snacks. And while inflation required us to take moderate levels of pricing on a variety of our products earlier this year, our HMM cost savings efforts mitigated this somewhat. Slide 20 shows the current non-promoted price per serving for a variety of our products. We’re focused on ensuring our brands remain affordable, mainstream choices for consumers. As Don mentioned earlier, net sales for U.S. Retail increased 3% in the quarter, led by our Snacks and Small Planet Foods divisions. For the full year, we expect net price realization to help drive mid-single-digit growth in net sales. We'll also grow our business by staying focused on product innovation and effective marketing support. Let me give you a few examples of those efforts, starting with cereal. The U.S. ready-to-eat cereal category generates more than $6 billion in annual sales in Nielsen-measured channels alone. The improving category trends that began in the fourth quarter of fiscal 2011 have continued, with sales dollars up nearly 3% in measured channels in the first quarter. Now remember that in the first quarter of last year, category dollar sales declined due to a competitor recall and increased levels of trade promotion focused on smaller brands. This year, first quarter average unit price was higher for each of the branded cereal manufacturers and also for private label. First quarter sales for our cereal business grew 2% in measured channels. Our new items, Fiber One 80 Calorie Honey Squares, Cocoa Puffs Brownie Crunch and Cascadian Farm French Vanilla Almond Granola are all off to a great start. And we continue to see incremental sales from Cinnamon Burst Cheerios which launched in January. We had strong performance on established brands as well. Honey Nut Cheerios is America's best-selling cereal. We featured this message in new advertising, driving retail sales for this brand up 5% in the quarter. The gluten-free benefits of our Chex line of cereals continued to resonate with consumers. Quarterly dollar sales of this franchise were terrific, up 29%. And targeted Hispanic messaging drove strong growth for Cinnamon Toast Crunch, with retail sales up 8% in the quarter. The cereal category responds to innovation and product news, so we like the chances for good category sales growth in 2012. And with continued product news on many of our established cereal brands, plus bigger and better product new introductions coming in the second half, we're expecting our cereal business to show good sales growth too. Let's turn to grain snacks. Category sales totaled nearly $2 billion in measured channels alone and are estimated to exceed $3 billion across all channels. We are leading growth in this category through continued innovation. In June, we launched Fiber One Brownies. These great tasting chewy brownies contain just 90 calories per serving and are off to a terrific start. We continue to see strong sales from our 2011 launch of Nature Valley Granola Thins, another great tasting, low-calorie snack product. And our established products are performing well too. With retail sales up 16% in measured channels alone, we are very pleased with our grain snacks performance in the first quarter. And with increased levels of marketing support planned throughout the year and a strong lineup of innovation scheduled for the second half, we are expecting another year of good growth for our grain snacks business. I should add a quick word about LÄRABAR, which is helping drive the strong sales growth in our Small Planet Foods division. These are fruit and nut-based energy bars. Since we acquired LÄRABAR in 2009, we have expanded distribution and added new products. Sales for this brand are up 65% in just 2 years. In fiscal 2012, we're continuing to add new retail outlets and new products, including 2 new flavors launched this summer. First quarter retail sales increased a robust 35% in measured channels. Let's turn to yogurt. This category generates more than $4 billion in retail sales in measured channels, and growth continues to be driven by the emerging Greek segment. In fact, sales of Greek-style yogurt have doubled over the last 12 months and today make up roughly 1/4 of category sales. We've got strong levels of investment behind our Greek yogurt business this year. New manufacturing capacity came online in August. At the end of the last fiscal year, we were not able to fully meet consumer demand for our Greek yogurt. With additional capacity now online, we expect our growth to accelerate moving forward. We've also turned on national advertising support for this product for the first time. Early response has been good. Since the August 1 launch of our ad campaign, baseline unit turns have increased over 30%, and our Greek yogurt sales were up 50% for the quarter. Our media plan for Yoplait Greek goes beyond television. For example, this month we launched a digital marketing initiative in San Francisco and Chicago that incorporates social media. We've also got in-store sampling and couponing planned to bring new users to Yoplait Greek. So we're ramping up our activity in this growing segment of the market. As we've discussed before, fiscal 2012 will be a year of strong investment across our entire U.S. yogurt portfolio. Our plans call for increased levels of consumer support. We have product news on established lines, including the recent reformulation of Yoplait Original to contain 50% of an adult's daily value of calcium. We've got strong consumer marketing plans for our Go-GURT business, which is doing well in the growing kids segment of the category. We have a great lineup of new product launches, and we're expanding distribution for Mountain High Yoghurt in the Western United States. We think we've got a solid plan to get our yogurt business growing again in 2012. More news and innovation are slated for the second half of the year. We'll talk about that in the months ahead. As I mentioned earlier, product innovation is the key ingredient in our growth plans across General Mills U.S. Retail business for 2012. We've already launched 70 new items in the first half of the fiscal year, including great innovation in the freezer case. Pillsbury Scrambles and Grands! Egg Sandwiches are great new options for breakfast. Scrambles are delicious combinations of egg, ham or sausage and Green Giant vegetables. Grand! Sandwiches offers scrambled eggs, cheese and meat inside a fluffy biscuit, and all of them are 300 calories or less per serving. We've also entered the handheld hot meal segment with the launch of 3 flavors of Totino's Pizza Stuffers. These kid-friendly pizza pouches can replace a sandwich and are hot and ready in minutes from the microwave. Both of these innovations represent new product platforms for General Mills. With continued strong sales from our other recent frozen innovations, including Yoplait smoothies, Wanchai Ferry and Macaroni Grill Dinner Entrées and Green Giant Valley Fresh Steamers, we expect a good year of sales growth in the freezer case. We continue to invest in our brands to drive top line growth. In U.S. Retail, our first quarter investment in media and advertising increased 6%, solid performance against a 6% increase in the first quarter of 2011. And in the second quarter, we expect our growth in media spending to accelerate a bit, with advertising expense expected to grow faster than sales again in this period. In summary, our U.S. Retail business has started the year well, with results in line with our expectations. As we look ahead to the balance of the year, we're encouraged by the improving sales trends in our categories. Our higher levels of innovation and marketing support combined with net price realization have us on track to deliver our targets of mid-single-digit growth in net sales for 2012. We continue to expect our segment operating profit to grow at a low single-digit pace, reflecting sharply higher input cost inflation and increased levels of marketing support. I'll now pass the microphone to Ken for a review of our other 2 operating segments, as well as an outlook for the rest of the year. Ken?
Kendall J. Powell: Okay. Thank you, Ian, and good morning, everybody. As we assess the performance of our U.S. businesses and our International operations, we're encouraged by resilient sales results for our brands in what remains a very difficult operating environment. We're dealing with high inflation and volatility in our input costs. Consumer trends are a tale of 2 worlds. An increasing number of consumers in emerging markets are buying branded packaged goods as their income expands, but high unemployment, a soft housing market and concerns about the economy are pressuring consumer confidence and spending in developed markets. Despite these challenges, we remain very optimistic about the opportunities for those of us in the food business. Consumers around the world continue to seek products that provide nutrition, taste, convenience and value. And at General Mills, we've got a global portfolio that delivers against all of these attributes. Ian just gave you an update on our U.S. Retail business. Let me add some comments on the Bakeries and Foodservice segment, which competes in channels for U.S. Food sales Away-From-Home. First quarter 2012 Bakery and Foodservice net sales growth results for our business continue to outpace the foodservice industry, as we focus on consumer segments with the best growth prospects. Net sales with Foodservice Distributors grew 5% in the quarter, led by our hot breakfast products, including the new Pillsbury Heat and Eat Mini French Toast for K-12 schools. Sales in convenience stores grew 6%, as we gained distribution on new snacks offerings such as Fiber One 90 Calorie Brownies and Nature Valley Recharge energy bars. And pricing drove sales in our restaurants and in-store bakery segments, up 18% in the quarter. As Don showed you, Bakeries and Foodservice operating profit declined in the quarter. Input costs were higher and grain merchandising earnings lower than year-ago levels. And the latest Technomic data indicates that industry trends have softened a bit over the last quarter as restaurant and convenience store traffic has declined. But as we've stated before, we feel very good about our Bakeries and Foodservice business. We believe our strategy of focusing on the fastest-growing channels and higher margin products will continue to drive performance that outpaces the industry as a whole. We remain on track to deliver good sales growth for Bakeries and Foodservice in 2012, with a mid-single-digit decline in segment operating profit expected as we lapped strong levels of grain merchandising earnings last year. Let me shift to our International operations. Slide 34 shows the components of our International sales growth. Sales increased a robust 30%, including the benefits of the Yoplait acquisition. And net sales, excluding Yoplait, were healthy as well, with pound volume, pricing and mix and foreign exchange all contributing to net sales growth of 14% on the base business. On a constant-currency basis, our first quarter International net sales grew 20%, with growth across all 4 regions. In Canada, sales increased 8%, including the addition of the Liberté yogurt business that was part of our Yoplait acquisition. Sales in Europe increased 36%. This is continued strong performance in a very challenging market. Our growth reflects the addition of Yoplait plus good gains by Nature Valley in the U.K. and Häagen-Dazs in France. Sales in the Asia-Pacific region increased 15%, led by double-digit growth in China. And in Latin America, constant currency sales increased 12%. Our large global brands are driving the sales growth. Häagen-Dazs had a great summer in France, where Secret Sensations is off to a terrific start. This is ice cream on the outside and a liquid crème brûlée or chocolate fondant center on the inside. In China, we've invested in additional retail freezer capacity, and we remain on track to open over 100 new Häagen-Dazs ice cream shops around the world in 2012. Our convenient meals business in China is Wanchai Ferry. We're launching new varieties of dim sum and frozen noodle offerings and increasing our levels of media investment, and we've begun our expansion of Wanchai Ferry into new markets in Southeast Asia starting with Thailand. Old El Paso is leading Mexican category growth in France through a combination of great in-store visibility including sampling and recent new product innovation such as an extra mile fajita kit. We continue to build Nature Valley distribution in the U.K. and have added chewy varieties to our Nature Valley lineup in Australia. And while it's early days, we're very excited about the contributions from our new global platform, Yoplait yogurt. The integration of this business is going well, and we'll have more to say about growth prospects as the year unfolds. Our largest global business is cereal, and we're seeing good performance in international markets. In Canada, we continue to lead category growth. We added nearly a full point of market share in the last 12 months. With the strongest new product lineup we've had in many years and health messages on the cholesterol fighting benefits of oat fiber in Cheerios, we expect another year of strong performance for our cereal business in Canada. Slide 38 highlights performance for our Cereal Partners Worldwide joint venture. We continue to build off of our positive momentum from last year, with first quarter pound volume up 6% and net sales up 8% on a constant-currency basis. After several quarters of decline, the U.K. cereal category is growing again, and our net sales in this market grew at low single-digit rates in the quarter. Our first quarter net sales in Australia increased at double-digit rates, led by growth in Uncle Tobys Hot Oats cereal. And we continue to see good performance across developing and emerging cereal markets, including double-digit growth in Mexico and Turkey. Brand performance was led by Nesquik and Chocapic. We saw a good growth on some regional brands as well, including double-digit growth on Nescow [ph] kids cereals and all Family corn flakes. Let me give you a quick update on our Häagen-Dazs Japan joint venture. I'd like to first recognize the tremendous work and dedication of the employee team in Japan. Despite operational and personal challenges in the aftermath of the March earthquakes and tsunami, they sold a lot of ice cream. Net sales increased 8% on a constant-currency basis. As a reminder, we report our joint venture sales on a 2-month lag, so these results include the 3 months immediately after the earthquakes and tsunami, and this is outstanding business performance. But we still expect a slow pace of business and consumer recovery in Japan this year, so we've not changed our expectations for Häagen-Dazs Japan. Our estimates assume sales and profits for this venture will decline in 2012 in total. Across our categories worldwide, we remain committed to leading growth. And innovation is the key to this, and we've got a terrific lineup of new items already launched with additional innovation planned for the back half of the year. And with sales trends accelerating in many of our categories, we think our top line growth prospects are very good. We also have a variety of merchandising events planned to drive consumer -- customer and consumer excitement. To help in the fight against breast cancer, we've got 2 events planned this fall. Over the last 5 years, we've partnered with the Susan G. Komen foundation to make Pink Together one of the most powerful cause marketing platforms in the grocery store, featured on over 300 million packages of General Mills products. Pink Together extends to our Bakeries and Foodservice business with colleges and universities too. We are partnering with sororities across the country to increase breast cancer awareness on campus. We've reached over 300 schools nationwide, up from only a handful of schools just a few years ago. Our second program is called Save Lids to Save Lives. This is the 13th year we've offered our signature Pink Yoplait lids to raise money for breast cancer research. Yoplait will donate $0.10 for every lid redeemed up to $2 million in total this year. We also have new advertising and expanded Hispanic outreach as part of the program this year. We continue to expand our successful Box Tops for Education platform. For example, this year, we're expecting to add over 1,200 Hispanic schools to the program nationwide. And merchandising events aren't just a U.S. phenomenon. In China, mooncakes are a delicacy given in celebration of the mid-autumn festival. Häagen-Dazs mooncakes reflect the tradition of giving the best to friends and families. We started product distribution in advance of this year's festival, and demand has been terrific with long lines of consumers waiting to redeem certificates for Häagen-Dazs mooncakes. So these are just a few of the merchandising programs we have planned in the months ahead. So with one quarter complete, our fundamental expectations for fiscal 2012 have not changed. We'll continue to combat high inflation with a robust pipeline of product innovation, HMM activities and marketing investment. We're focused on ensuring that our brands offer great taste, convenience and nutrition for consumers around the world at good value. And we believe prospects are excellent for achieving our growth targets in 2012 and beyond. So thank you for your time this morning and for your interest in General Mills. Now we'd be happy to answer some of your questions. So operator, if you could please get us started.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Lazar of Barclays Capital.
Andrew Lazar - Barclays Capital, Research Division: I guess I'll preface this question by saying this is more the optimist in me. But some of the things that you talked about in the prepared remarks kind of struck me as, maybe some of the first more positive data points perhaps that we've heard, not just from a General Mills perspective but for the industry as a whole in quite some time; the concept of the first quarter being perhaps the peak in inflation for you and the industry. Having a lot of your pricing in place now and then your category comments that you talked about and Ian discussed as well, it certainly seem like somewhat more positive than what we've heard. So I guess my question is, am I just being overly optimistic? Do you think that maybe we're kind of seeing a bit of an inflection point of sorts for the industry, or do you still think, given obviously what I know is still a tough consumer environment, is it really too early to say?
Kendall J. Powell: This is Ken. And I would say, I don't know if we're at an inflection point. I mean, I would say that we still see the environment as challenging. In my comments on the foodservice side, I think as you heard earlier in the year, we were -- the forecasters there, Technomic, were predicting maybe there'd be a little bit of growth on that side of business, which is -- and if there's growth in foodservice, it's usually because consumer confidence is increasing a bit and they're a little more optimistic about income and that’s since come down. That sector is going sideways. We continue to think that the consumer is, from what we can tell, quite cautious, very planful about their shopping trip. So we think that the environment there is going to continue to be challenging. Having said that, we all -- we are also, as you’ve heard, encouraged by the category development that we saw in the first quarter. We think that we -- as we've said in the past, we think that we got our expectation for inflation and our pricing kind of packaged about right, and we got that behind us many, many months ago. We're obviously encouraged by the very solid cereal performance, very exciting performance on the grain snacks side of the business. So there are some good signs there. We're encouraged by the first quarter, but I would say the environment still seems pretty challenging to us.
Andrew Lazar - Barclays Capital, Research Division: Got it. And then, a very quick follow-up. Pricing -- net price realization came through very nicely as expected in -- well, across the board but in U.S. Retail specifically. As we think forward into sort of the next quarter or 2, would you expect the pricing piece to kind of build sequentially from here, or is kind of what we saw in this past quarter sort of where you're at, and knowing that you do have a little bit more promotional activity planned for the next quarter? I'm just trying to get a sense of, do we see kind of U.S. Retail price mix sort of stays -- plateau at this level, maybe even take a step back just because of promotional timing? Just trying to get that perspective or expectation out there.
Ian R. Friendly: Andrew, this is Ian. Yes. I think my expectation is it's roughly similar. In some ways, we do have some seasonal items, seasonal parts of our business coming up. On the other side, I'll say that in many cases, one of the ways that we've taken pricing is reduction in trade merchandising or raising our traded price points. And some of that hasn't been reflected yet, particularly for the seasonal businesses like soup, where that will be much more evident going forward. So there'll be some actions we've already taken that haven't yet shown up for net price realization, but the nature and the degree, I would say, is roughly in line with our first quarter.
Operator: Our next question comes from the line of Chris Growe of Stifel, Nicolaus.
Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division: I just had a question for you, and I guess a bit of a question for Ian back to that acceleration in the categories. Clearly, there’s some pricing component inherent in that. I just want to be clear that underlying that, are you seeing better volume trends? I mean, we could see the pricing going up, but is that at least a factor that you think that's helping drive or helping show better category growth for your categories?
Ian R. Friendly: The categories kind of played out and our business played out roughly as we thought from a volume impact elasticity and pricing standpoint, which is to say we've had to take quite a bit more pricing than we would ever historically have taken, and it did have a negative impact on volumes. But roughly in line with what we expected, maybe a little bit better in a few categories. But I would say our expectation for the year is sales-driven in growth by pricing and dollars with modest decline in volume.
Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then I just wanted to ask about, you're using a combination of price increases and promotional declines, if you will, or reductions in trade merchandising. The elasticities, have they kind of shaken out where you expect? And I guess the nuance I'm looking at, is there any change or any difference in elasticity in categories where you're primarily using reductions and promotion versus those where you're raising prices? Is there any alterations, if you will, to the volume patterns in those categories?
Kendall J. Powell: As I said earlier, it's roughly in line with our expectations, whether it's -- no matter which way the pricing is realized, the impact on demand is coming in pretty much as we thought across most categories. One of the things that always affects that is what else is going on in the stores, so we have to actually see as the year plays out, not just our own categories in the business but indeed, the entire food industry. But given the level of input inflation we're seeing, I would expect that it'll be fairly inflationary throughout the stores. So I am cautiously optimistic that the elasticity should hold the way we thought.
Christopher Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just to follow-up on that, and my last question is do you have the trade cost per case? You've given that before, was that down in the quarter?
Kendall J. Powell: I don't have that in front of me. My expectation, though, is that our trade cost per case is roughly in line with prior year, and our expectations for the full year is it’ll be down a bit.
Operator: Our next question comes from the line of Ed Aaron of RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC, Research Division: Just wanted to ask a kind of update question on kind of cereal category pricing trends. There’s kind of been some talk about some recent incremental pricing actions by your main competitor, just get kind of an update on kind of where you stand from a pricing perspective there? Are you -- have you taken all the price that you need?
Kendall J. Powell: Obviously, we won't comment on future pricing actions. What we do -- what I'll just reinforce is we like what we're seeing in the cereal category. It's sequentially improving a great deal. We're seeing growth, dollar-driven growth. We took -- when we did our, and as Ken mentioned, our inflation and pricing estimate, we took what we felt we needed to do to make our fiscal year work for us. That doesn't preclude future actions, but I would just say that I think the cereal category is working in a very productive manner right now.
Edward Aaron - RBC Capital Markets, LLC, Research Division: And just one quick follow-up and I apologize if you already gave this, but can you tell us what your inflation rate was in the quarter?
Donal Leo Mulligan: Yes, we don't provide quarterly guidance or information on inflation, but what we have said and what we did see is that we see higher inflation in the first half of the year versus second half of the year but still 10% to 11% for the full year.
Operator: Our next question comes from the line of Alexia Howard of Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., Inc., Research Division: I've got -- okay, so 2 questions, one on yogurt. Historically, yogurt has obviously been an important source of growth in the U.S. Retail segment. I'm just wondering, are you actually seeing stabilization now that you've not got the advertising campaign and the new capacity in place? I mean, were the August numbers better than earlier in the quarter? And are you actually getting back into positive territory for yogurt overall?
Ian R. Friendly: Alexia, this is Ian. No, I guess I wouldn't characterize it quite that way yet. Our business is on track with where we expected it, but it is down due to so much of the category's growth and share going towards the Greek segment. And our new capacity for our Greek business didn't really come online until the last month of the quarter. So within the quarter, I would say -- well, I wouldn't say, we were down on our yogurt business. It should get sequentially better over the year as we're able to get behind this business, but it's going to be many periods of working that back.
Alexia Howard - Sanford C. Bernstein & Co., Inc., Research Division: Great. And then a quick follow-up for Don. On the uses of cash, I think other companies are talking more about less in the way of share repurchases, more cash targeted towards bolt-on acquisitions. This quarter, you repurchased I think a little over $100 million and you certainly did over $1 billion last fiscal year. How are you thinking about uses of cash as we go forward? Are the share repurchases more opportunistic here, or do you expect to continue that?
Donal Leo Mulligan: Alexia, we always have repurchase as part of our traditional way to return cash to shareholders. But as we've said this year, our share repurchase activity would be down substantially from last year because we're using that cash to fund the Yoplait acquisition. So I think that's the main factor you'll see in our use of cash this year.
Operator: Our next question comes from the line of Eric Katzman of Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: A couple of detailed questions. What was the goodwill amortization, noncash expense in the quarter, and what do you expect it to be for the year associated with Yoplait?
Donal Leo Mulligan: Well, for the year, as we said, I guess probably in the July meeting, we expect about $0.01 or a little over $0.01 drag in EPS from the new amortization from the intangible assets. We had 1 month of that in the quarter, so it's probably in the neighborhood of $3 million to $5 million. If it shows up in our operating results, you'll also see it then in the amortization depreciation line of the cash flow.
Eric R. Katzman - Deutsche Bank AG, Research Division: But -- and that's off of, I guess you had Footnote 3, which has like $571 million of finite lived intangibles, so it's only $5 million off of that $571 million?
Donal Leo Mulligan: Yes, because you've seen what those asset lives are going to be -- they're extended, they're different terms. But it's everything from mid-single digits to double digit in terms of years, so the average life is probably in the high-single digits to low-double digits in terms of years. And again, this is one month because it's only -- we only had one month of Yoplait results in the quarter.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then I noticed that in the International segment, the price mix was dramatically different pre- and post-Yoplait. Can you talk about that a little bit? It looked like there was like a 12-point swing between Yoplait in or out. And I guess I assume that, that's only going to get more pronounced when you include Yoplait for a full quarter.
Donal Leo Mulligan: Yes, that just reflects the fact that it's a lower-priced product on a pound basis versus our other International portfolio. We see a similar impact in the U.S. business. It's just that it's obviously, it’s more -- it stands out in International because it's the first time we've consolidated Yoplait.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then last kind of, I guess, detailed Yoplait question. Even though it was there for a month, I think Kris earlier had said that it was a profitable contributor on the fully consolidated basis. Could you say how much that was out of the, I guess, it was $81 million of EBIT that you had in the quarter for International?
Donal Leo Mulligan: Yes, Eric, we don't break down line of business profitability, but I'll reiterate what we shared in July that we're going to have 10 months of results for Yoplait for the year. We expect it to contribute about $1.2 billion in sales. Operating profit is low-double digits as a percent before that amortization expense we just talked about.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then, just pulling back for a second to Ken. Ken, the -- Ralcorp is obviously -- their acquisition of Post is a clear failure in strategy, and so now they're spinning that out I guess as a stand-alone entity. There's been some -- I guess there was a question put to Kellogg at the Back-to-School, and they said, no, they couldn't touch it in terms of antitrust. Is that -- do you see it the same way? And how do you see a stand-alone Post as a competitive force in the category?
Kendall J. Powell: Yes, Eric, we -- that -- your first thought has crossed our mind in the past, but we would have similar antitrust competition issues there; that's very, very clear. As to how they might do on a stand-alone basis, it's -- I think it's very difficult to say. I mean, they -- we think that there's good brand power there. I mean, clearly, they have good equities. And so -- and if -- so if they -- if that stand-alone business does a good job of bringing into the organization people who really understand the category and understand brand -- how to build cereal brands and the kind of consumer insight that you need and advertising and intensity, if they bring people in who understand that, then those brands ought to be responsive and they ought to be able to get high-quality growth out of those businesses through baseline development. So it is very much -- it's just a function I think of the kind of organization they build behind it.
Eric R. Katzman - Deutsche Bank AG, Research Division: Were you surprised that the margins that they showed -- I mean, it seemed like they had for a #3 player in the category, the 20 -- I think it was 25-plus percent operating margin seemed to be -- even as good a category a cereal is that seemed to be quite high for a #3 player?
Kendall J. Powell: You're a little deeper into their P&L than I am, Eric. So it sounds good. But anyway, I'll pass on that one.
Operator: Our next question comes from the line of Ken Zaslow of BMO.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Ian, you characterized 2012 as a year of investment. How do you think you're going to be characterizing 2013?
Ian R. Friendly: I'd like to think I would be characterizing 2013 as a year of great return on that investment.
Kendall J. Powell: Yes, I'll second that.
Kenneth B. Zaslow - BMO Capital Markets U.S.: And what do you think the likelihood of that is, I guess? That's what I'm trying to get. I mean, you're spending a lot behind this brand. You're obviously not at the growth level that you probably want to be at. Do you think 2013 will be a year where you can restore your growth level, restore your profit to where you would have been if you had constant growth to the level you want? How do you think about it?
Kendall J. Powell: And I assume you're -- because my comments were around the yogurt category that your question’s around the yogurt category as well.
Kenneth B. Zaslow - BMO Capital Markets U.S.: My next question was, how do you expect to gain market share in both. You talked about how the category growth for both cereal and yogurt were good, but you didn't really talk about where you think you're going to play out and the market share opportunities in those categories. So if you want to take them together, that would be fine.
Kendall J. Powell: Sure. I think they're in some ways distinctly different. In the case of yogurt, the category has undergone a tremendous transformation, but there's a lot of positives in that. The -- a category that is now the size of yogurt growing in high-single digits is a very rare thing, and so the ability for innovation to continue to drive consumption and grow the category continues to support what a fantastic business the yogurt category is. And at different times, trends come in, many that we've created that have driven that growth and in some cases where competitors have driven. But as has been in the past, the game is always far from over in yogurt. It's a high-consumption, fast-moving category. I think our investments will very much drive our business performance forward. We'll get competitive in the Greek segment. There's further innovation to be done even beyond the Greek segment, and we'll continue to drive the category in a positive way. So I'm very enthused about the yogurt category, but we have to, this year, acknowledge we have some work to do to sort of step back and get our -- get back into the game on some of the segments that have emerged quickly. But I feel very good, and I like our plans going forward in it. I just want to acknowledge we have work to do. In the case of cereal, you're really dealing with I think a fairly anomalous period from the standpoint of there’s recalls and things in historical data to work through on a share basis. I think once that all works through the wash you'll see again a very productive category and a very productive General Mills within that category. And so I feel terrific about what's going on in cereal and good about -- I feel really good about our prospects, and so that's a very different situation. That's almost a case of the math in the comps.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. So do you think you'll regain a significant portion of your market share in yogurt and as well as cereal? Or how do you think -- I mean, do you think there’s share gains? Just is there a way to quantify how you think about it?
Kendall J. Powell: I would say in cereal we’ll -- I feel very good about our cereal share trajectory once we get through these odd comps in the category which we’re largely through. Yogurt’s going to be a piece-by-piece buildup over the year and into next year. It's not going to be an overnight solve, but the sequential growth I think will improve.
Operator: Our next question comes from the line of David Driscoll of Citi.
David Driscoll - Citigroup Inc, Research Division: Ian, I wanted to just ask you a little bit about U.S. Retail inventories at retail. There's too many retails in that question. But at the retail level, what are you seeing right now in terms of General Mills product inventories? Do you believe that shipments have been tracking in line with consumption? And just kind of the general trends, I mean, at some point in times we've seen the retail is really pushing hard to reduce inventories, but I’d kind of like a little update on that, if you will.
Ian R. Friendly: Yes, over all of U.S. Retail in general, it was up a bit in the quarter but not significantly. And as you head into seasonal periods, it's quite normal for that to go on. So I would say, what we're seeing overall is pretty normal behaviors. There have been fluctuations and there always are in a given category or 2. But overall, I would say we're not seeing any distinct -- a broad-based retail pullback of inventory.
David Driscoll - Citigroup Inc, Research Division: Okay. So then in terms of this quarter's performance affecting next quarter's performance, you wouldn't think that there's anything to read through here, that looking at the retail trends is a reasonable proxy?
Ian R. Friendly: No, I wouldn't think so. I'll say just there in the data, in the case of soup, our -- there appeared to be some inventory reduction going on over the summer, but I expect that will self-adjust over the year.
David Driscoll - Citigroup Inc, Research Division: Okay. Ken, you commented on Häagen-Dazs Japan and the tremendous performance 3 months post the tsunami and earthquakes, yet you maintain the idea that it's not going to -- it's going to see year-over-year declines. Can you just expand on this a little bit? Intuitively, it doesn't seem to make sense if the 3 months post the event were so strong, it would seem to me like those would have been the toughest 3 months that you would face throughout the year. Why wouldn't this be better than expected? And perhaps, you just want to say it's just too early to say because you've got so much more of the year left. And then related to the joint venture line, CPW, I’d just like to hear your thoughts about the sustainability of that. Is there anything funny in the quarterly comparisons in the very solid growth that CPW posted?
Kendall J. Powell: So David, on Häagen-Dazs, and I've got Kris O'Leary here sitting next to me. We were kind of chatting as you were asking the question. I mean, our team performed extraordinarily well in the period immediately after that catastrophe in Japan. And obviously, the business performed quite a bit ahead of what we thought it might do. But as we think about the rest of the year and I would say we just, we think it's prudent to -- we just think it's appropriate to be cautious about consumer sentiment and how those categories will play out. So you're right. I mean, we're pleased with the first quarter, but we're going to sort of take a cautious stance here until we see a little more data. For CPW, I think your question was, is that sustainable? And I don't have in front of me -- are the quarter's numbers sustainable. I don't have it in front of me, the previous quarters. I will tell you that CPW has had a solid year. I mean, they started well and really they've sustained it over the course of the year. I mean, they have very good brand building initiatives in that company. Their core businesses have been solid. Their business in the U.K., which was really a drag a year ago, is helping a little bit now. They've got fabulous focus in business development activities and consumer development activities in emerging markets and that's been a driver for them. So we feel quite good about how -- about their performance this year. And given the still very low penetration of cereal in most of the markets that they compete in, we think that their global cereal category, generally in CPW, have very, very good growth prospects well into the future.
David Driscoll - Citigroup Inc, Research Division: If I could sneak in a modeling question for Don, 2 quick ones. Interest expense guidance for the year. So given your comments about first quarter interest expense coming in better than expected, there's a lot going on because of the financing of the acquisition. Can you update us on your full year expectations for interest expense? And then on the noncontrolling interest line, isn't this typically going to be a positive? Like it was the wrong direction in the first quarter report versus what I typically expect. Maybe I'm wrong on that, but if I'm not, can you explain what to expect there for the year as well?
Donal Leo Mulligan: Sure. On the interest expense, as we said in July, we expect mid-single-digit growth interest expense, given the additional debt we've taken on earlier in the year to fund Yoplait, and that still remains our guidance. As I mentioned, we did have some favorable breaks from a rate standpoint in the quarter, but our guidance for the full year still holds. As far as the noncontrolling interest on the P&L, you're exactly right. That will be Sodiaal's share of the earnings out of Yoplait. We did have over operating earnings in the quarter, but we also had a mark-to-market on the balance sheet, a cross-currency loan on the Yoplait balance sheet. There's a -- it's a euro entity with a sterling-denominated loan. July obviously was a bit of a hiccup in the foreign exchange markets in Europe, and it broke against the euro. And so we ended up having a mark-to-market -- a noncash mark-to-market flow-through. So the reason you see a loss in the quarter is because that reflects Sodiaal's share of that mark-to-market loss. As we look at the full year, as I mentioned to Eric's question, we continue to expect to see double digit -- low double-digit profit margins from that business. And so as a result, you will see that loss turn into a positive on a full year in the MCI line.
Operator: Our next question comes from the line of Todd Duvick, Bank of America Merrill Lynch.
Todd Duvick - BofA Merrill Lynch, Research Division: I wanted to ask a quick question, Don, about the balance sheet. Obviously, the acquisition of Yoplait and you mentioned the debt balance is higher, but your leverage is still in good shape. But really with respect to the short-term debt, you've got north of $2 billion of short-term debt, and that's the most that you have since the credit crisis. So I guess my question is, do you plan to go back to the way you managed the balance sheet prior to the credit crisis, holding more short-term debt, including commercial paper on the balance sheet? Or would you look to term out a portion of the debt associated with Yoplait in the debt capital markets?
Donal Leo Mulligan: Todd, a couple of things. When we talk about that $2 billion plus, some of it is a maturity -- $1 billion maturity we have coming due in February, and then the balance, I think it’s $1.4 billion, $1.5 billion, is actual commercial paper. We will term out or, if you will, refinance that maturity that's coming due. We haven't exactly picked the size yet, but that $1 billion of maturity, we will be back in the market to refinance that sometime probably around mid-year -- mid-fiscal year for us. As far as the commercial paper, we will pay that down over the year. As I mentioned, we have a higher-than-normal balance now versus what we've been running. So that's really the funding mechanism for the Yoplait acquisition. So as we generate cash, we'll spend more cash on paying down that balance and bring down our share repurchase for the year. So you'll see that balance come down over time. One thing I would say, just on that front with the increase in our balance, we still have ready access to the commercial paper markets, matter of fact, our recent issues have been LIBOR minus a couple basis point. So we're trading actually versus LIBOR arguably better than we ever have. So we feel very good about our market access but still, we do expect to bring that balance down over time.
Operator: Our last question comes from the line of David Palmer of UBS.
Mineo Sakan - UBS Investment Bank, Research Division: This is actually Mineo filling in for Dave. But our question is on your food cost outlook. Now looking back to the June and July time frame when you last reported, corn prices and the grains complex in general have been quite volatile since then and are a bit higher now. So is this something that maybe making you adjust your thinking about the second half of the year?
Donal Leo Mulligan: This is Don. We are about 75% covered as of now. So we have pretty good line of sight of what the inflation will be for the year, and it still is in that 10% to 11% range that we gave guidance on in July. To your point, the markets have been volatile. As a result, we've extended some of our positions, but in terms of our inflation expectations for the year, they still remain in that 10% to 11% range.
Mineo Sakan - UBS Investment Bank, Research Division: Great. And just a quick follow-up, can you talk a little bit about where you're focusing your HMM energies this year?
Ian R. Friendly: This is Ian. Our HMM energy is really -- it's always been the case that across the board in all our businesses, in fact both domestic and International. And so again, continue to think of this as much more as a grassroots phenomenon that really goes across all our lines. What I can tell you is our level of HMM is every bit as strong as it's been, if not a little bit stronger than prior years. And so it continues to be a very productive activity for us. But it's not isolated to any one business or category.
Kristen Smith Wenker: Thanks, everybody. If there are still questions in the queue, please give us call. Appreciate your time.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Have a great day, everybody.